Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2012 Celanese Earnings Conference Call. My name is Derrick and I'll be your operator for today. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Jon Puckett, Vice President and Investor Relations. Please proceed.
Jon Puckett: Thank you, Derrick, and welcome to the Celanese Corporation First Quarter 2012 Financial Results Conference Call. My name is Jon Puckett, Vice President Investor relations. On the call today are Mark Rohr, Chairman and Chief Executive Officer, Steven M. Sterin, Senior Vice President and Chief Financial Officer. Also in the room today are Doug Madden, Chief Operating Officer and Mark Oberle, Senior Vice President Corporate Affairs. The Celanese Corporation First Quarter 2012 Earnings Release was distributed by business wire this morning and is posted on our website, Celanese.com.  Powerpoint slides referenced during this call are also posted on our website. Both items were submitted to the FCC in a current report on FORM 8-K. During this call, management may make forward-looking statements concerning, for example, Celanese Corporation's future objectives and results, which will be made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The limitations inherent in such forward-looking statements are detailed in the earnings release referenced during this call. Celanese Corporation's First Quarter 2012 earnings release references the performance measures, operating EBITDA, business operating EBITDA, affiliate EBITDA and proportional affiliate EBITDA, adjusted earnings per share and net debt as non-U.S. GAAP measures. For the most directly comparable financial measures presented in accordance with U.S. GAAP and our financial statements and for a reconciliation of our non-U.S. GAAP measures to US GAAP figures, please see the accompanying schedules to first quarter earnings release posted on our website, celanese.com. This morning Mark Rohr will briefly review the performance of the company and Steven Sterin will provide an overview of the business results for each segment and the financials. We'll have a question-and-answer period following with Mark, Steven, and Doug following the prepared remarks. I'd now like to turn the call over to Mark Rohr. Mark.
Mark Rohr: Thanks, Jon, and welcome everyone to today's call. It's a pleasure to be here and I'm honored to be joining as CEO of Celanese and we all look forward to your questions after our remarks. Before I get into a few details on this quarter, I'd like to highlight some recent accomplishments that we are particularly excited about. In March, we received key government approvals to produce ethanol for industrial use at our Nanjing facility. This is a significant milestone as we move the coal-based ethanol opportunity closer to reality. Additionally, continued advancements in TCX catalyst technology, have allowed us to expand the capacity of this plant by 30% to 40% without capital addition, getting us to about 275,000 tons. We have begun construction and anticipate this unit will be operational in the middle of 2013. I also want to mention the completion of the acquisition of several product lines from Ashlands for our emulsions business. I'm very impressed with the new product improvements we've made in this segment and this acquisition helps us continue to advance the value of the business. As we end the quarter, Moody's Investor Services and Standard and Poor’s rating services, both raised our outlook to positive. Balancing growth objectives with debt reduction and cash distribution in a way that move us to investment grade is important to me and to the Celanese leadership team. For the quarter, I'm pleased to report net sales $1.63 billion, an increase of 3% over the prior year period and 1% over the fourth quarter. Diluted EPS from continuing operations came in at $1.15 per share, that an increase of $0.28 per share, approximately 32% over 2011 and it's an increase of $0.54 per share and approximately 89% over the fourth quarter. Adjusted earnings per share, which excludes these tax credits and other charges and adjustments, were $0.72 per share. These earnings are down $0.24 per share from the first quarter of 2011 and up $0.14 per share or $0.24 sequentially. Our year-over-year earnings were impacted by weakness in the acetyl chain that is a reflection of soft demand in China and Europe, which ultimately led to over supply in Asia outside of China. Demand prices and margin were all impacted as a result. We saw similar softness in some advanced interim market segments driven by weak automobile builds in Europe, which is classically a very strong segment for Celanese. Weakness in the industrial electronics sectors also were beyond our expectations. In addition to these economic impacts that I mentioned, we continue to see strong raw material inflation trends. They keep pushing the need to drop pricing. In 2011, we saw raw material cost increase $280 million year-over-year and we expect raw materials to rise another $100 million to $110 million this year. Some of this inflation pinched our margins this quarter and while I believe we are taking steps to overcome these costs, it nonetheless represents a challenge for us. In spite of these near term challenges, we are working hard to deliver on our earnings commitment for the year and to be honest we are seeing some favorable trends. But to help overcome the slow start, we have focused on items we can control. So let me give you a few examples. First, we are concentrating our customer-facing efforts to make certain we are taking advantage to opportunity to draw a profit and grow. We have done a good job of this historically, but I'm challenging our leadership team to get even closer to our end-market so we can better expect their needs and meet them. Second, we need to run our plants to draw profitability and if margins are below a level that makes sense, we'll take actions needed to improve our financial performance. We found ourselves in this situation during the first quarter and have idled our 600,000 ton Singapore facility as a result. And third, we have historically focused on productivity and cost initiatives across the company to maximize value. We now have an increased focus on variable costs and process technology improvements. I believe we can further enhance our performance this year and create value for our stakeholders that will offset some of the market volatility. By focusing our team on things they can control, my goal is to not only continue to generate great results, but to accelerate the trajectory of earnings growth and shareholder returns as we go forward. With that, I'll now turn the call over to Steve Sterin.
Steven M.  Sterin: Great. Thanks Mark. Let's review the first quarter performance and the year's outlook for each of our segments, starting with Advanced Engineered Material on slide 8 of the Earnings advance engineered materials on slide 8 of the earnings presentation. Despite recessionary trends in the European economy, the AEM business delivered significant revenue and earnings growth sequentially. Net sales increased to $317 million, $25 million are approximately 9% above Q4, primarily due to higher seasonal volume is demand approved sequentially in the auto and industrial good sectors in both North America and Europe. Operating EBITDA increased to $94 million, up $21 million, or approximately 29% from the fourth quarter due to the higher volumes and growth in our affiliates. Looking ahead to the second quarter, we expect earnings growth on increased volumes across the business, particularly with our industrial customers in both North America and Asia. North American auto builds are also expected to reflect good growth and should drive higher volumes. Additionally affiliate earnings are expected to increase sequentially. Let's now turn to consumer specialties on slide 9. Net sales were $264 million, down $42 million from the Fourth Quarter, primarily due to the previously announced production interruption as well as normal seasonality in the quarter that resulted in a 17% reduction in volume sequentially. Our operations team did a great job of managing through the interruption and as a result, we were able to provide more products to our customers in the quarter than we originally anticipated. Pricing increased 3% sequentially and partially offset the decrease in volume. Operating EBITDA was $66 million, down $7 million from Q4. Looking forward to the second quarter of 2012, we had originally expected $20 million to $25 million of operating EBITDA, which shift from Q1 to Q2 due to the interruption. We now expect between $10 million and $15 million of incremental EBITDA in Q2 on a sequential basis. Also dividends from our acetate China ventures, which are typically received in the second quarter, are expected to be modestly higher than last year’s $78 million. As a result, we expect segment earnings in the first half to be higher than in the same period last year and full-year earnings to be slightly higher than 2011. Turning now to industrial specialties on slide 10. This business' performance reflects continued success and geographic growth and development of new innovative applications. Net sales increased to $309 million, $37 million are approximately 14% above Q4, driven by strong volume growth in North America and Europe as demand increased for our innovative applications, primarily in paint, coatings, adhesives, and paper. Our recent expansions and the acquisition of emulsions also benefited Q1. Pricing declined sequentially primarily in Europe and Asia due to product mix. Q1 earnings also benefited from favorable raw material costs. Operating EBITDA increased to $34 million, $4 million are approximately 13% above Q4. As we look ahead we expect second quarter volumes will increase globally due to higher demand for our innovative products, including the continued benefit from styrene butadiene replacement in paper and carpets. Our pricing initiative should reflect the value of our applications, as well as actions taken due to higher raw material prices. As a result 2nd Quarter earnings are expected to be up over Q1. Let's now turn to Acetyl Intermediates on page 11. Net sales were up slightly to $852 million. Operating EBITDA was $83 million, a $12 million decrease from Q4 due to slower expected demand in Europe and Asia outside of China. Additionally, we have experienced a significant spike in ethylene and other oil-based raw materials in the quarter. [inaudible 0:00:40] with the value of our Acetyl products. As a result [inaudible 0:00:48]. We have also announced price increases for our Acetyl product. We are seeing initial positive signs from our actions as margins improved toward the end of the first quarter and into the early part of the second quarter. We [0:01:09] provide improved performance for this business in the second quarter. Strategic Affiliates performance is highlighted on slide 12. In the first quarter we reported $51 million of earnings from our Strategic Affiliate, a 19% increase over the prior year period. We also received a special cash dividend from one of our Asian Strategic Affiliates during the first quarter, some of which reflected dividends from prior earnings. Let me remind you that due to accounting rules, our results do not reflect $37 million of proportional equity affiliate EBITDA, as they are reported on a net income basis on our EBITDA. You can find further detail on our Affiliate performance and this proportional share on Table 8 of our earnings release. Turning to slide 13, our adjusted free cash flow was $112 million in the first quarter of 2012 or more than double Q4's amount. In part, due to higher dividends from our Strategic Affiliates in Asia and lower interest expense. We delivered these results even with the higher pension contributions on a sequential basis, and the payment of our annual bonuses in the first Quarter. Our 2012 outlook for adjusted free cash outflows is highlighted on slide 14. Our forecast for capital expenditures includes our previously announced, accelerated industrial ethanol projects. We expect to continue to generate strong cash flows that position us to create value for our shareholders and that reflects our ongoing fiscal discipline. Additionally, the Board recently approved a 25% increase in our dividend, which will be effective in August of this year. With that, I'll now turn the call over to Jon for Q&A.
Jon Puckett: Thanks, Steven. We have a lot of people on the line today, we ask that you ask one question with one follow-up and then get back into the queue. With that, Derrick, I'll turn the call over to you.
Operator: (Operator Instructions) Our first question is coming from the line of David Begleiter from Deutsche Bank. Please proceed.
David Begleiter: Good morning.
Mark Rohr: Good morning, David.
David Begleiter: Mark, could you address some of the 2013 targets that your predecessor put out there in terms of both EBITDA and EPS?
Mark Rohr: Yes, David. I think, 2013, if we look at our business model today and look at the steps we are taking to where we draw profitability. Things like Spondon shutdown, the Nanjing expansion to name a couple of them. Brining the new ethanol plant online, the advances we are expecting in our base-businesses. We can see numbers that pushes into the mid-$5.00 kind of range before we do anything else to drive profitability. I want to remind you that as we look at the cash generation of Celanese, we could have as much as $10.00 bucks a share of cash at that time, too. We are looking for ways to put that cash to work. Originally, as Steven had commented, I think originally the team came out with a range in the $6.00 range. I certainly think that is still possible. We have had six pretty tough months in here and we are really putting together the case now to support that. Right now, we can see $5.50 or something like that. Steven?
Steven M. Sterin: Yes. As Mark said, we can get good line of to $5.50's and given the current slower economic market conditions. The $6.00 that we have always talked about also included some assumptions on use of cash, David, as you recall. As you look at where we should finish this year and next year with cash flow, given our strong cash generation, we should be in the neighborhood of the $1.5 billion of cash. We will continue to deploy that in a fiscally responsible manner to drive earnings growth and return to shareholders. Also, drive long-term growth as well.
David Begleiter: Thank you. Mark, just on the Singapore shutdown, is that shutdown still ongoing? Why, as a lower-cost producer are you taking down capacity and perhaps supporting some higher-cost producers to be sustained here?
Mark Rohr: The plant is still idle as we speak, David. I think if you broadly look at it, Singapore is a competitive plant. I just want to say that there was a lot of disruption in Asia outside of China. We had a lot of asset going into that market as slow downs occurred in some of the base markets around the world. It was really a situation that we felt we should just stop participating in that market and really start signaling our intent not to sell material at these prices. I think that's been a good financial move for us when we look at it. I think we have had some good response, pretty quickly from our customers, relative to that. That is the situation we are in. As soon as we can see a situation where margins have returned and demand has returned in a balanced fashion, then we will bring it back up. Until then, we will keep it idle.
Steven M. Sterin: Yes. I'll just add one comment. Our Singapore plant is a low-cost facility. It is one of the lower-cost out there. It is our highest cost facility in our network. Particularly when AOC is weak, we have in the past talked about that fact. We’ll manage our capacities if we find margins unacceptable then we will bring that plant down to maximize the profitability of the business.
David Begleiter: Thank you very much.
Mark Rohr: Thanks, David.
Operator: Your next question is coming from the line of Edlain Rodriguez from Lazard Capital Markets. Please proceed.
Edlain Rodriguez: Thank you, good morning. One quick question on AEM, in terms of visibility.  How much do you have in there? So far, have you seen any improvement in the demand in the key end markets for AEM?
Steven M. Sterin: Yes. That is one of the businesses where we have a little bit longer outlook, Edlain, on the order books. In the first Quarter, we saw weakness principally in Europe automotive. You have seen the numbers by now, auto-builds were down, low double-digits in Europe. That affected us in the first Quarter. We also saw weakness in, I would say, broad industrial applications as Europe moved into what appears to be a recession in the first Quarter. As we look forward to the Second Quarter, North America and Asia appear stronger on a sequential basis. Our early look is leading us to believe we will have sequential earnings improvement in that business.
Edlain Rodriguez: Okay. Just for auto industry, what are you seeing in terms of a shortage, like Nylon, that could  potentially impact that auto-build globally? Is that a concern to you, at all?
Jon Puckett: Edlain, one more time, please?
Steven M. Sterin: We missed your first sentence.
Edlain Rodriguez: The potential impact of shortage of Nylon 12...
Steven M. Sterin: Okay. Yes.
Edlain Rodriguez: ... that could impact auto-build. Is that a concern to you?
Doug Madden: Edlain, we actually think it's an opportunity. If you look around the industry and you read the same things we do that are out in the public domain, clearly there is a concern about it. Early indications are that it doesn't affect auto production. Frankly, given some of the products that we have and the capabilities, we see it as an opportunity for us to place some of our products. We are in the process right now of doing it. Near term, no issues. It sounds like it’s a "Stay tuned" as the industry wrestles with it. We believe there will be some expedited specifications that will have to be granted in order for the industry to continue to produce.
Edlain Rodriguez: Okay. Thank you.
Mark Rohr: Thanks, Edlain.
Operator: Your next question is coming from the line of Bob Koort from Goldman Sachs. Please proceed.
Bob Koort: Thank you. Good morning.
Steven M. Sterin: Good morning, Bob.
Bob Koort: Could you guys address, just remind us, about your raw materials situation, AI? Seems like I recall you had some favorable methanol and ethylene contracts. Are those stil in existence? What's the outlook there? When you go into your intermediates, what are the raw materials specifically, you cited some benefit there, what was helpful to that division?
Steven M. Sterin: If you look at AI specifically, let me first take you around the world and share with you how we think about it. We saw the pressure on raw materials, as Mark and Steven said. We have said our, contractually, in North America where we're able to have contracts that allow us to pass through generally a good amount of that, I think probably about 50% that's tied to contracts. Europe is a little bit more freely negotiated, although we do have some protection, probably more exposure there. You see that principally in ethylene. I think as a general statement where we've seen the real run up is on the ethylene side, so the downstream derivatives that consume it through our chain. Then in Asia, as you know, it's a more transactional environment, so you're driven there not only by raw materials, but frankly by supply and demand. And where you see the pinch that we're referring to, particularly in Asian margins dropping, is when you have a supply/demand imbalance, but you've got escalating raw materials. Typically those are businesses that have lagged because of that, a quarter or two in the recovery of it, but generally speaking we continue to push and to press for price increases out in the marketplace.
Bob Koort: And on the intermediate side or the downstream industrial specialties, what was giving you help there?
Doug Madden: Same thing. Remember in that model we typically had lagged on the way up. We lag on the way down, as well, and they saw a couple of things. One is they saw some price movement in the quarter on a year-over-year basis and certainly sequentially, and we got some raw material benefits that we're lagging, as well, principally out of Q4 sequentially into Q1.
Steven M. Sterin: Yes, that business uses VAM as one of its raw materials, and on a sequential basis you saw the VAM prices were a little bit lower in some of the published data, so the business tends to hold it for a short period of time.
Bob Koort: I had asked on methanol, is there any contract expiration with Southern? Can you talk about what your situation there is?
Steven M. Sterin: Unchanged. Yes, we have a long-term contract and it's got multiple years left on it.
Operator: Your next question will be coming from the line of P. J. Juvekar from Citi. Please proceed.
P. J. Juvekar: Yes, good morning Mark.
Mark Rohr: Good morning, P. J.
P. J. Juvekar: Now just a quick question.
Mark Rohr: P. J., get a little closer to your mike if you can. We're having trouble hearing you.
P. J. Juvekar: Sorry about that. Can you hear me?
Mark Rohr: Yes, that’s good, P. J. Thank you.
P. J. Juvekar: Thank you. A quick question for you on the strategy. So far Celanese in Acetyl seems to run as a low cost player and maximize volumes, but with your arrival it seems like maybe you're focusing more on margin improvement rather than market share. Is there a change in strategy that I sense?
Mark Rohr: Well, it's important that Celanese maintain its position as a low-cost producer, and so we're investing a lot of money to keep that position. We just went through a gut check to validate that, looking at every site around the world versus our capability, and we still firmly believe we command that position. I think the real question from me is do you want to still keep pushing that cost cover. We simply want to just run this business to make sure we maintain that position but draw profitability. And that's currently what we're focused on. I don't think you should look at this as a seat change that we're not going to over time maintain our percent of market share. But you should look at it as we're going to make investments to extract higher value from asset and through the Acetyls chain. And if that means that we need to audit one plant, redirect product in a different direction, we'll certainly be doing that PJ.
P.J. Juvekar: Okay. Then a quick question for Steve about the $10 million charge. It's an outage, which is part of ongoing business. I was wondering why you decided to call that out, if it was not due to natural disasters like floods or hurricanes? Second, in fourth quarter you had mentioned that the charge would be more like $20 million and you took $10 million here, can you just talk about the outage charge?
Steven M. Sterin: Yeah. PJ, when we have a significant outage that's caused by some form of disaster, actually it was due to lightning, that we think we have either an insurance or a legal claim that we can make against that, we'll exclude the direct charge, which is the $10 million that you were referring to. Then when we receive the insurance proceeds or the legal settlement, we exclude that as well. That's what the $10 million is. That's the direct cost that we had to incur as a result of the strike. Set that aside for a minute, and the $20 million to $25 million is different. That was the volume impact that we expect to see EBITDA basis shift from the first quarter to second quarter which we obviously don't adjust that. That shows up as it shows up. The good news is we were able to get about $10 million more volume out in the first Quarter than we thought we'd be able to. We got the plant up and running a little bit faster than anticipated. The first quarter had that volume benefit and then as we move forward to the second quarter, we'll make up the rest of the $25 million. So on a sequential basis, you'll see volume improvements in that business because of the outage.
Operator: Your next question will be coming from the line of Mills Lawling [sounds like] from CLSA. Please proceed.
Mills Lawling: Good morning and thanks for taking my question. In the past Celanese has said there was some raw material or maybe footprint availability issues at Nanjing. So given the new ability to produce your industrial ethanol when the plant gets scaled up above your initial estimates of about 200,000 tons, will you be able to produce at that higher level? Will you need to source raw materials from somewhere else? Or will there be any sort of constraints?
Mark Rohr: No Mills. We can produce. We've got sufficient assets to produce that ethanol. Is that your question?
Mills Lawling: Yes. Yes.
Steven M. Sterin: If you look at the overall balance, as Mark said, we've got the base raw materials we need to produce the product. We've got a fixed amount of Syngas. So what we'll do is, we'll actually cut back on production of other products like acetic acid and make ethanol. Which will on a net basis, improve the profitability of the site.
Operator: Your next question will be coming from the line of Kevin McCarthy from Bank of America Merrill Lynch. Please proceed.
Kevin McCarthy: With regard to your decision to idle the 600 kilotons asset at Singapore, I seem to recall that historically you were running a somewhat heavier feed slate there. Is that still the case? If so, is there any opportunity to retrofit that or do some operational work while the plant is down? I'm just trying to understand better whether this decision was taken as a function of unit cash margins or the market being loose in Asia.
Steven M. Sterin: Kevin, I think we shared with you in the past when we look across the system. We run a slate of different feed stocks into there, across our system. Some natural gas, some that could be oil based, some that's coal based. In the case of Singapore, it's an oil base feed stock. It is a heavier feed stock. You're absolutely right and your memory is great. As we take a look at it, there's been some pressure. We've all seen the run up in oil and where that has gone. So some of that is there. The other part of that is as Mark explained, is we saw the oversupply situation as well that weren't meeting our expectations on the margin. Relative to the second part, yes, we look at that site. We're developing today some options about what we think we can do. Nothing near-term, nothing imminent, nothing that can be done in the short-term. But we continue to look at different options there that give us even better optionality for the site. Over some period of time, we hope that we can do something there.
Mark Rohr: Kevin, this is Mark. The big pinch that we saw in the first quarter really related to the sloppiness in that market. Doug kind of outlined and saluted the P stock basis here which isn't as stable as it's been perhaps in the past. But that wasn't his primary reason. The reason was that the market was just so sloppy that we pulled it out.
Kevin McCarthy: It sounds like if spreads to methanol widened back out in Asia, you'd turn the keys again and restart it. Is that fair?
Mark Rohr: Oh, yes. I don't think that plant's going to be down forever, if that's what you're saying. I think that clearly it's a little bit of a temporary situation. But we'd like to see the demand pick up a bit. So the broad market is served which is back into China. You really would like to see that market improve a bit before you bring it on.
Kevin McCarthy: Got it. Final question , if I may, Mark. Would you just provide us with an update on ethanol as it relates to your Greenfield projects and also any discussions you may be having on a partnership in the fuel market?
Mark Rohr: Yes, Kevin, I will. There's just a lot going on in this segment. It's all really, really good stuff, starting with Houston, of course, for bringing on our demonstration unit. I was just down there visiting with the team and the RD team, and that should be running in the June/July timeframe, so hopefully you can make it down in September and you guys will get to see that unit. The breakthroughs in technology I mentioned are spectacular. We've already materially advanced this technology, and we'll have advanced in time to take advantage of that in Nanjing, where our plant is now also under construction. We'll be running a next summer kind of timeframe. Beyond that, we're looking at the next expansion step. We're not ready to announce anything yet, but I can just say there's a lot of activity underway there. So on the industrial side we have a hard push, and that seems to be materializing as we forecasted. If I rolled it, now looked to the fuel side, we have tremendous activity underway in China working with the major players there and the provincial governments there to find a way to move into that market. And I don't want to be too specific there, but I'll just say we're making lots of progress with our technology being validated by third-party sources in China that are giving tremendous credibility to the virtues of ethanol and our ethanol process. In the U.S. we have Olson's bill is out there, and we're continuing to work with both the House and the Senate to look for venues to advance that legislation in a way that would open up a window of opportunity for us. It's certainly too early to call that, and to be frank I don't think anything is going to happen this year with that, given the political situation in Washington. But we're really posturing ourselves to be ready to hopefully roll something through next year.
Operator: Your next question is coming from the line of Laurence Alexander from Jefferies. Please proceed.
Rob Walker: Good morning, this is Rob Walker on for Laurence.
Mark Rohr: Good morning, Rob.
Rob Walker: Morning. On your cash outflow guidance, does that include Spondon closure costs, and what do you expect for D&A this year? It seems like it's been bouncing around a little bit quarter to quarter.
Doug Madden: Yes, it definitely includes the Spondon costs. On D&A we are going to be up a little bit this year versus last year because of the start up of the new capacity that we've got in Germany for our advanced engineer materials business, as well as in China. So you could think somewhere around 290 to 300 on D&A.
Rob Walker: Great. Thanks. And then on the bridge to the full year guidance, given a comment around weakness persisting a bit longer into this year, what has improved versus mid-January that's allowing you to maintain your outlook? And going along with that, you'd expected acetic acid and that segment margin to normalize by end of Q2. Has that changed at all? Thanks.
Mark Rohr: Rob, I think that's a great question. We're certainly in a deeper hole in the first quarter than we anticipated. If you go back, even before that, as everyone saw, business sort of dropped off at the end of last year, with the recession in Europe primarily, and the slowdown in China, as they go through a political transition there. You've got this wave of poor economic news that's kind of rolling through the system. We are seeing some favorable movement, clearly, in the Acetyl arena that gives us confidence we're going to move back to more of a historical level, there in the second quarter. Still, some struggles in some of our other businesses, though, that are more directly tied to the economic situation, particularly in Europe. So when you add up, to get to the numbers that are out there for the year, we've got to produce a second half that's roughly equal to the first half. And you know in the first half, we got a one-time dividend that rolls through that's roughly $0.40 of earnings. So we've got to go out and find $.40 of earnings. So if you get back to normalized business, we've got to go find $0.40. Three ways to tackle that. You can tackle that with volume, and I talked about the things we're doing to make sure we've got every opportunity out there when moving material to the customers, that want to. We can do it through margin, and Doug mentioned our steps there to drive margin sequentially through the business.  And we can do it through cost. When we add up the things we have there on the plate, pushing there, we can get maybe two thirds of that, or so. I think we are dependent on the back end of this year being pretty good, and we're going to have to go out and find some stuff, roughly $.40 or so, to make that number, and we have a lot of that work underway. But it's going to be a push, Rob, for us to do it.
Operator: Your next question will be coming from the line of Frank Mitsch from Wells Fargo Securities. Please proceed.
Frank Mitsch: Good morning and congratulations, Mark, on the new position.
Mark Rohr: Thanks Frank.
Frank Mitsch: Just to make sure we're all on the same page here, when you talk about making the number, you're talking about making a number north of $2.70 for 2012, correct?
Mark Rohr: You said $2.70? I think it's $4.70.
Frank Mitsch: Yes. Yes.
Mark Rohr: We're very confident on the $2.70, by the way.
Frank Mitsch: I figured I'd give you a softball for your first question from me.
Mark Rohr: No doubt about it we’re strong there. The number that's being floated around is $4.70 and, if you look, we did this last quarter, and what folks think we were going to do this quarter, you get in the $2.30 kind of range. So we've got to roll that again. And you know, in this business, when you look at the data, the fourth quarter has been kind of weak, historically, for some of these markets, so we've got a lot of heavy lifting to do to make that $4.70. So we've targeted some things to do, but you shouldn't think it's a slam dunk. We've got a lot of work to do to get it, and to be perfectly honest, we don't have a clear line of site exactly to that number that's out there.
Frank Mitsch: Great. And coming back to AI and the Singapore facility. It's obviously a large facility for you guys. What were your operating rates in the first quarter? What was the industry operating rate in the first quarter? And here we are three weeks, or so, into 2Q, any thoughts on where industry operating rates are currently?
Steven M. Sterin: Frank, so if you kind of walk it at the beginning of the quarter, as you would imagine, particularly with  Chinese New Year. You tend to be rather light going into the New Year and you see it ramp up as you come out. I would say across the Quarter, utilization, probably in the mid- to high-70s. As we come out of Q1 going into Q2, you have probably 20% to 25% of industry capacity out today, both largely planned, some unplanned. You start to see that utilization in the Quarter ramp up substantially. Probably high-80s is where you end up to, maybe pushing a 90% near-term through the quarter.
Frank Mitsch: All right. With that, you have obviously seen pricing move up materially since the end of the first Quarter. Roughly speaking, how much higher would you need to see prices go before you flip the switch back in Singapore?
Steven M. Sterin: I'll answer it this way, we would look for demand to substantially improve and to be able substantially increase. Historically, that is the plant that earns back 15% to 20%. If you look at the kind of margins it generated historically, we would want to return back to probably low triple-digit margins that are out there.
Frank Mitsch: All right. Let me ask you, how much higher is Singapore than the average of the rest of Celanese's asset plans, in terms of percentages? It is obviously your highest cost plant, roughly, how much higher is it than the other facilities right now?
Doug Madden: Frank, that's a lot of specificity to get in to. It is our highest cost plant and it depends on the circumstances of what oil prices are doing and a host of other factors to actually go through that math. I guess I would just ask you not to condemn this plant as being a plant that can't compete. We could be out there today and making positive margin today with it, but we really think it's the right thing for us. We are convinced that it is actually driving enhanced profitability for us by having it down at this point. Just to take it from my point of view, I would like to see that business in that region, volumetric demands in that region, pick up a bit where there is more stability in the market before it's back out there again.
Frank Mitsch: All right. Thank you so much.
Steven M. Sterin: Thanks, Frank.
Operator: Your next question is coming from the line of Mike Ritzenthaler from Piper Jaffray. Please proceed.
Mike Ritzenthaler: Good morning, everyone.
Unidentified Company Representative: Good morning, Mike.
Mike Ritzenthaler: I just wanted to make sure we understand the full-year's views on each segment in terms of earnings. I think what you had talked about in the Fourth Quarter was growth, AEM, industrial specialties, flat expectations in AI and consumer specialties that had been the view. It sounds to me like the only change to the full-year view is, now earnings growth is expected in consumer specialty. I just wanted to see if you think that is a fair message?
Mark Rohr: Hey Mike, we are having a real hard time hearing you, boss.
Mike Ritzenthaler: Sure, I'll try to speak up.
Doug Madden: Okay.
Steven M. Sterin: I think I got it, Mike, but tell me if I didn't get your whole question. Yes, one of the things we did expect was AI to offset, the full impact of the margin expansions that we saw in the middle of last year with volume. Obviously that the first quarter challenges that we saw in Asia outside of China, as well as Europe, generally being weaker, that's going to be more of a challenge, and that was what Mark was indicating when he's talking about the full year. CS, obviously we did indicate that it's going to up for the full year, and we had previously thought it would be closer to flat, so that helps offset some of the Delta. And then, as Mark said, we've got a number of other areas, whether it's AEM or across our portfolio, that we're driving, getting closer to the customer, identifying where we've got opportunities to drive price increases, as well as looking at our overall cost structure and making sure we get productivity that covers any shortfalls in the market.
Mike Ritzenthaler: Okay. And then on the Nanjing retrofit, I was wondering if you could give us an update on the project. There was a little color on that already given, but I was just wondering if there's some more project-driven milestones that you could discuss or if that's something that has to wait for a few more months.
Mark Rohr: Well, yes, and I'm the right person probably to do that. I was just there, and concrete's being poured. We're starting to go up with structural steel. Do you guys know the mechanical completion date?
Steven M. Sterin: A year.
Mark Rohr: In the second quarter.
Doug Madden: Yes, you know, the key milestone was getting permits approved, because it's all within our control now, so our degree of confidence goes up. I think here in the next few months the core light startup is a key milestone that I would look for, and then we'll get this plant up and running by the middle of next year. If that changes, we'll let you know.
Mike Ritzenthaler: Okay. Perfect. And then one last question for me. Can you give us a sense for the performance of industrial specialties, sort of "ex" the Ashland assets? I know most of the quarter included those assets, but just organic versus inorganic year-over-year growth.
Doug Madden: Yes, the simplest way probably to answer that is if you look at the quarter. Ashland really had a very minor impact, very low single-digit impact into the numbers. So as we look forward, it's complementary to the business. I think we've been public on the size of it. I think it's somewhere in adding in the range of $40 million to $50 million of top line growth into that business on a full annualized basis. Having said that, we don't complete and have the full annualized impact though until 2013, given some of the integration issues and certain arrangements around the transaction and the transition of that business. So think about a top line $40 million, $50 million on a full-year basis 2013.
Steven M. Sterin: Small increase in this year and then a full run rate next year.
Doug Madden: Right.
Mike Ritzenthaler: OK. Great. Have a great day guys.
Steven M. Sterin: Thank you.
Operator: Your final question will be coming from the line of Hassan Ahmed from Alembic Global. Please proceed.
Hassan Ahmed: Morning, Mark.
Mark Rohr: Morning.
Hassan Ahmed: A strategy-related question, as well. If I remember correctly back on '07 you guys shut down a methanol facility out in Edmonton. Clearly that was during a period when the natural gas price regime was very different. Now as you guys are considering sort of boosting margins further, is there any thought given to maybe potentially setting up methanol or ethylene facilities here in the U.S.?
Mark Rohr: Yes, yes.
Hassan Ahmed: So you would consider those?
Mark Rohr: Absolutely, yes.
Hassan Ahmed: Okay.
Mark Rohr: I think the its hard to...well, let's say it in another way, I mean, the natural gas situation in the United States is really just a great breakthrough in technology, but it’s also foretelling, I think, of what's going to be a very long period of attractive pricing here in the U.S. And, so, yes, we're certainly taking a look at that and seeing if we can take advantage of it.
Hassan Ahmed: Okay. Fair enough. Thank so much.
Mark Rohr: Thank you.
Operator: At this time I'm showing no further questions in queue. I would like to turn the call back over to Mr. Jon Puckett for any closing remarks.
Jon Puckett: Okay. Thanks for your time this morning and I'll be around today to answer questions. Appreciate it.
Operator: Ladies and gentlemen, that concludes today's conference. We thank you for your participation. You may now disconnect. Have a great day.